Operator: Good afternoon, and welcome to the MicroVision Fourth Quarter and Full Year 2025 Financial and Operating Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Drew Markham. Please go ahead.
Drew Markham: Thank you, Paul. Good afternoon. I'm here today with our Chief Executive Officer, Glen DeVos; and our Interim Chief Financial Officer, Steve Hrynewich. Following their prepared remarks, we will open the call to questions. Please note that some of the information you will hear in today's discussion will include forward-looking statements, including, but not limited to, strategic plans, acquisition benefits and risks, expectations regarding customer engagement and product deliveries, go-to-market strategies, product performance and pricing, market landscape and opportunities, cash flow forecasts, liquidity and the impacts of recent financing activities, availability of funds and access to capital, expected revenue, operating expenses and cash balances, as well as statements containing words like believe, expect, plan and other similar expressions. These statements are not guarantees of future performance. Actual results could materially differ from the future results implied or expressed in the forward-looking statements. We encourage you to review our SEC filings, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q. These filings describe risk factors that could cause our actual results to differ materially from those implied or expressed in our forward-looking statements. All forward-looking statements are made as of the date of this call, and except as required by law, we undertake no obligation to update this information. In addition, we will present certain financial measures on this call that will be considered non-GAAP under the SEC's Regulation G. For reconciliations of each non-GAAP financial measure to the most directly comparable GAAP financial measure, as well as for all the financial data presented on this call, please refer to the information included in our press release and in our Form 8-K dated and submitted to the SEC today, both of which can be found on our corporate website at ir.microvision.com under the SEC Filings tab. This conference call will be available for audio replay on the Investor Relations section of our website at www.microvision.com. Now I would like to turn the call over to Glen DeVos, our Chief Executive Officer. Glen?
Glen DeVos: Thanks, Drew. We have a lot to cover, and I want to start today's call by sharing our view of the significant changes we see happening in the broader LiDAR market, what we call LiDAR 2.0, and how we are building MicroVision to lead in this new era. When I reflect on the last 10 years or so in our industry, what we refer to as LiDAR 1.0, it was clearly a technology race. Companies operated with a Silicon Valley mindset putting hardware first chasing best-in-class specs. The prevailing thought was that the best technology would lead to wins and that the volume would drive down costs, which would in turn lead to mass adoption. The challenge with this start-up mentality is that it was at odds with the realities of how the industry operates. Long predevelopment and sourcing cycles followed by uncertain volumes, a recipe for fragile revenue, heavy burn rates and has led to consolidation in the space. What MicroVision defines as LiDAR 2.0 isn't driven by technology, but rather by providing value to our OEM customers. It's not about winning with the single most impressive sensor, but rather it's about achieving scalable deployments across real-world platforms that drive long-term growth and margins. The transition from LIDAR 1.0 to LiDAR 2.0 now is now underway. Looking across our industry, incumbents will face significant challenges in navigating this shift, for example, hardware-centric players have impressive technology but the wrong economics, embracing a mindset of volume will fix price, while also failing to leverage the value that software can deliver. Automotive-only players have deep focus, but their single-threaded revenue creates risk when faced with program delays, low option take rates or tightening budgets. Industrial players have revenue prospects in the short term, but the current electromechanical sensor architectures with their associated high cost structures are vulnerable to the emerging high-performance solid-state sensors with their significant lower cost basis. These challenges require a fundamentally different approach and success in LiDAR 2.0 will come to companies that can excel in 4 key areas. These include: first, having a scalable product portfolio that enables participation in diversified end markets, enabling robust revenue streams and achieving scale across the business, taking an open approach to software that both drives down hardware costs while also enabling our customers to more effectively manage their applications and systems. Hitting the right price point with a hyper-focused design-to-cost approach that enables our OEM customers to unlock value in their end markets and embracing automotive-grade execution coupled with fiscal discipline. The new MicroVision has been built to lead in this LiDAR 2.0 era. So why are we feeling so confident? Certainly because we have the following capabilities. First, we have the right portfolio through the acquisition of Luminar and Scantinel, MicroVision now has the most complete and robust LiDAR technology portfolio. MicroVision's MOVIA sensors offer compact, cost-effective short-range solid-state sensing with applications in all of our end markets. We are now seeing the anticipated interest in MOVIA S following its launch at IAA last September with multiple customer trials for industrial and automotive applications. Our IRIS AND HALO sensors acquired from Luminar offer long-range sensing for high-speed use, and it's a perfect fit for automotive and security and defense. Our 1550 nanometer FMCW sensor acquired from Scantinel provides ultra long-range sensing with initial applications in automotive and security and defense. The combined software products, MOSAIK and SENTINEL now provide a complete end-to-end capability from silicon to point cloud to perception with advanced AI-based features, which can easily be integrated and configured by our customers, leveraging our open software framework. With this product portfolio, MicroVision is now equipped with the solutions to serve the automotive, the industrial, and the security and defense markets with a scalable set of hardware and software solutions. I want to take a moment though to highlight the emerging needs in the security and defense sector that are of increasing importance to MicroVision. We completed our proof-of-concept phase for our drone and ground-based autonomy platforms in Q4 of last year, and we are now working closely with our defense advisory board members as part of our business development and customer engagement phase. With our drone-based MOVIA Air and our newly acquired IRIS and HALO products, we have the right products at the right time to enable real-time drone-based mapping and perception as well as ground-based autonomy. The ongoing shipments of MOVIA L to a European customer was an important start for us in this space and validates the need for these applications to use robust solid-state solutions. We will be publicly showcasing our capabilities over the course of the next months as we ramp up our efforts in this important market. Our production technology, our U.S. and German footprint, as well as our U.S. manufacturing capability position MicroVision to be a leader in the security and defense space. Now in addition to our portfolio, MicroVision's use of software is a clear differentiator. The new MicroVision shifts our center of gravity from hardware bragging rights to software that lowers cost and expands capability. Our focus on advanced software-centric signal processing through the full stack continues to enable MicroVision to drive down the cost of the sensor hardware. This strategy follows a very similar blueprint to what we did in vision and radar for the move to software-defined sensors was a key step in achieving cost levels that drove mass adoption and achieving scale for these technologies. LiDAR will follow the same path, but we are making it happen much faster. Additionally, our open software framework completely changes how our customers can utilize and leverage the capability of our sensors. It gives them full control of their system development and integration, opening up new value creation opportunities for them. And finally, we're accelerating revenue. The new MicroVision is converting existing commercial demand and customer relationships into shipped product and revenue. And this is happening now. Following the Luminar acquisition, our top priority has been to restart those commercial relationships and contracts where I'm meeting personally with our IRIS and HALO customers. In the first month since the acquisition, we've already shipped IRIS units as we transfer contracts and POs and reestablish commercial relationships and the production schedules. The customer feedback has been very positive, with strong interest in MicroVision's post-acquisition combined product road map where we can be a total solution provider to them. The Luminar acquisition also significantly expands our market access by bringing approximately 30 new customer relationships and many more incremental prospects to MicroVision. It also enables us to offer new sensor solutions to existing MicroVision customers. This cross-pollination is further accelerating our commercial traction. Additionally, we began shipments of MOVIA L in December to an EU security and defense OEM with repeat orders continuing in 2026. As I talked about earlier, we are very pleased with the momentum in this segment where we see opportunities to expand near-term revenue. And then finally, as I mentioned, MOVIA S continues to gain interest and traction with multiple customer engagements and we remain on track for our Q4 MOVIA S industrial launch. We could not be more excited about MOVIA S as it is truly the right product at the right price and at the right time. We are also confident that our operations can support this accelerated revenue, but we know that the proof is in the execution. The new MicroVision is guided by experienced leaders with proven reputations in the automotive industry. With automotive-grade DNA and a collaborative approach to partnering with customers, the company is poised to meet commitments, milestones and deliveries. Now to reiterate my remarks from last week's fireside chat, I want to be very clear about our thinking regarding our recent Luminar and Scantinel acquisitions, and the critical role they play in enabling MicroVision to lead the LiDAR 2.0 era. First, they round out our strategy of offering the right product at the right price. By integrating these assets with MicroVision's, we now offer the most comprehensive and robust LiDAR portfolio in the industry. We expanded our ability to serve different industries, use cases and price points. Not only will this open up immediate revenue streams in automotive, industrial and security and defense, that will also make our business more resilient and diversified. Second, the acquisitions accelerate revenue. In particular, the Luminar acquisition brought active commercial programs and established customer relationships that pull forward our timeline to scale. We've made significant projects in resetting these commercial relationships. And as I mentioned earlier, are now shifting products to multiple customers. This approach accelerates MicroVision's path to revenue compared to achieving this organically, which would have taken much longer. And third, these acquisitions have added depth to the talented MicroVision team with expertise in hardware, software and advanced perception, all with proven experience in navigating automotive requirements and manufacturing at scale. This has enabled us to make the recently announced decision to consolidate our Redmond engineering, manufacturing and supply chain management operations into our Orlando site. This marks a key step in realizing the synergies we identified as part of the acquisitions as well as improving our overall operating efficiency. Orlando will be our U.S.-based manufacturing site for our full line of products, which is serving the security and defense sector and will be critical for that sector. It will also complement our ongoing high-volume contract manufacturing strategy. In summary, we didn't acquire Luminar or Scantinel to simply grow bigger, we acquired them to move faster. We have also continued building out our executive leadership team with proven credibility across the markets we serve, including automotive. Executives like Fabio Laura, who's leading our operations, supply chain management and quality, as well as Greg Scharenbroch, who will join -- who joined us in November as our Vice President of Global Engineering. What I've shared with you today serves as the basis for the new MicroVision strategy and how we will lead in the area of LiDAR 2.0. It's a strong and clear blueprint to guide the company and these steps are already well underway. I would now like to invite Steve to review our GAAP fourth quarter and full year financial performance.
Stephen Hrynewich: Thank you, Glen. For fourth quarter revenue, we reported $0.2 million primarily driven by hardware sales in the industrial sector. This compares to $1.7 million of revenue during the same period in 2024. On a full year basis, we reported $1.2 million of revenue in 2025 as compared to $4.7 million in 2024. The decline from both 2024 periods is a result of a last time buy on a contract with an agricultural equipment customer to deliver legacy Ibeo sensors. Total operating expenses for the fourth quarter of 2025 were $25.3 million. This includes noncash charges of $13.4 million related to asset impairment, and $1.5 million of depreciation and amortization and offset by a net credit of $1.5 million of share-based compensation, primarily due to the forfeiture of PSUs from an executive departure in December. Adjusting for these noncash items, our cash-based operating expenses totaled $11.9 million. Compared to the previous quarter, including a onetime $1.2 million cash severance payment in the third quarter, our operating expenses were $0.9 million higher than Q3, and in line with our expectations. The increase is primarily related to the addition of our Aerial Systems team to bolster our competitiveness in the security and defense sector as we announced in November. On a full year basis for 2025, our total operating expenses were $65.5 million, which includes noncash charges of $13.4 million related to asset impairment, $5.8 million of depreciation and amortization, and $0.7 million of share-based compensation. Adjusting for these noncash items, our cash-based operating expenses were $45.5 million. As compared to full year 2024, our operating expenses declined $14.4 million or 24%, primarily driven by reduced purchase services and actions taken in 2024 to reduce head count and rightsize our business. This year-over-year decline in operating expense is a demonstration of our accounts management focus and cash-conscious mindset. Cash used in operations for the fourth quarter was $15.4 million. This compared to $15.1 million in the fourth quarter of 2024. On a full year basis, cash used in operations for 2025 was $58.7 million as compared with 2024 at $68.5 million. The year-over-year decrease of $9.8 million or 14% was primarily driven by our intentional reduction of operating expenses. Capital expenditures for the fourth quarter were in line with expectations at $0.2 million. This compares to $0.1 million during the same period in 2024. On a full year basis, capital expenditures were $0.7 million in 2025 and $0.4 million in 2024. For both periods, the year-over-year increase is primarily attributed to purchases of tooling equipment needed for the production of MOVIA S sensors scheduled to start in early Q4 of this year. In the fourth quarter, we incurred $29.4 million of noncash asset impairment and adverse purchase commitment charges, of which $16 million is accounted for as cost of revenue because it relates to inventory and commitments of our short-range MOVIA L sensor. The remainder of $13.4 million is accounted for as operating expense, primarily attributed to perception software and equipment for our long-range MAVIN sensor. The write-down of MOVIA L, MAVIN and Perception software results from a multi-factored analysis, including the progress of our next-generation short-range solution and the market readiness of the long-range solution that we recently acquired. With the recent announcement of our consolidation of operations from Redmond into our new Orlando facility, we are currently evaluating the impact to the 2026 financial statements and anticipate asset impairment charges of $8 million to $12 million related to our Redmond office and operating lease as well as people-related restructuring charges of $1 million to $2 million. On our balance sheet, at the end of the fourth quarter, we finished with $74.8 million in cash, cash equivalents and investment securities. We also have $43 million available under the current ATM facility. Subsequent to the end of 2025, we issued 2 new senior secured convertible notes in the aggregate principal amount of $43 million. The new notes will be used to repay the current outstanding principal balance and interest of $19.5 million on a current note with the remaining available for general operations. The new notes are redeemable in cash, or shares of the company's common stock. With our strong leadership, depth and breadth of our product portfolio, financial discipline through operational cost management and capital raise activities, we are well situated to deliver our cost-efficient products that meet performance standards to our customers and capitalize on the significant revenue opportunities that the automotive, industrial and security and defense sectors have to offer. With our recent acquisitions, the LiDAR industry is consolidating into a handful of key players. MicroVision is well positioned to lead the LiDAR industry in these 3 verticals and offers a significant opportunity for shareholder value creation. I would now like to pass it back to Glen for closing remarks.
Glen DeVos: Thanks, Steve. This is a transformational time for MicroVision. Today, we've talked about the vision for a new MicroVision, a company built to lead in the new era of LiDAR 2.0. We shared how our strategy allows us to create value for customers in new markets and the steps we're taking to deliver the right portfolio with the right performance at the right price. We've also begun to demonstrate concrete steps as a testament to our focus on execution, shipping products against existing orders and prudent financial management. Turning now to guidance for calendar year 2026. We expect revenue to be in the range of $10 million to $15 million. This is based on our analysis completed to date of both prior MicroVision outlook going into 2026 as well as the now continuing Luminar revenue streams. This is a positive reflection of our ability to retain and convert prior Luminar contracts to ongoing Microvision revenue. We expect cash use in operations plus CapEx to be in the range of $65 million to $70 million for the full year, which reflects a modest increase over 2025 due primarily to the acquisitions of Scantinel, Luminar as well as the addition of our Virginia-based aerial systems team. These additions have dramatically expanded our market access but with thoughtful and disciplined management of our cash burn. In summary, as we move into LiDAR 2.0, I'm very confident that MicroVision is positioned to lead this transition. We have the right portfolio and products to access multiple end markets. We are delivering the right performance at the right price. We have the management and engineering teams to deliver at automotive grade, and we have the financial discipline to ensure that we will continue to have access to capital and financing to achieve our growth plans. Our mission is clear. Our team is aligned, and we're focused on creating value for customers and shareholders. I'm excited about the path lies ahead for the new MicroVision and LiDAR 2.0. Thank you, and we will now open the call for questions.
Operator: [Operator Instructions] And the first question is coming from Jason Kolbert from Boral Capital.
Jason Kolbert: Thanks for the guidance, $10 million to $15 million, that's for this year. How does that break between the automotive and industrial segment? And what kind of margins are we talking about on that revenue?
Glen DeVos: Steve, do you want to take that one?
Stephen Hrynewich: So the breakdown of our revenue is mostly in the industrial space with the balance being in the automotive side. That's kind of where our key customers are that we brought over from the Luminar side, and that's the key customers that we're currently working with right now, developing those relationships, which is going to help us achieve our guidance in terms of our revenue situation. From a margin perspective, our margins definitely should be positive. We're still working on what that cost is going to be just based on the cost that we're going to be getting as we're getting that cost evaluated as we're doing the PPA right now, but we do definitely see our margins to be positive this year.
Jason Kolbert: And going forward beyond 2026, so what I'm trying to understand is how these 2 segments grow and what's the market potential in automotive, what's the market potential in everything else, the industrial?
Stephen Hrynewich: I think what we're seeing as we move forward into the future as we get towards the end of the decade, we definitely see our revenue growing in the automotive space, most likely that won't be till towards the end of the decade '28, '29, and that's where all of the automotive companies are developing their LiDAR strategies, their ADAS strategies, and they will implement LiDAR into their platforms. So we are in process of a number of RFQs as we speak right now to support those activities. So we see the automotive kind of towards the end of the decade and that's going to form a big portion of our business. Our bridge between now and then is primarily going to be in the industrial space, as Glen talked about in his prepared remarks. We have a number of customers that we're working with right now. Then the other piece is going to be on the defense and security side. So we've got some products that we're going to have readily available mid this year for salable units to those potential customers. As Glen mentioned, we do see some growth in that area. We see that kind of moving forward into the future. That's going to kind of again -- but the industrial and the defense side is going to be a bridge as we progress into the automotive side, which will begin towards the end of the decade.
Glen DeVos: Yes. Just to add some content to that. For auto, as Steve said, that's going to be later in the decade, the RFIs and the RFQs that we're talking about now are targeted for the '29, '30 start of ramping. So if you think about auto, that's where you start seeing volumes and really more meaningfully in the '30, '31 time frame. Now that's at scale. So that's the big TAM where you have basically a multibillion dollar TAM and significant opportunities. Industrial for us, we'll see some sales this year, but really MOVIA S is our big industrial product. So as we launched in October, back half of the year or the back quarter of the year, we expect MOVIA S sales to start driving and then strong growth through 2027. So as those orders come in and preorders come in over the course of this year, we'll be able to give an accurate projection of what that growth looks like in '27. And then security and defense, this is an area that is still -- it's still very nascent, but we actually are very optimistic about it. There's a lot of focus now on drones and what can be done with drones in terms of autonomy, providing basically mapping, real-time mapping in conflicted areas and also extending perception for ground-based vehicles as we look at ground-based vehicle autonomy. And that's one where we'll be sizing those markets for us, but we're confident that's very interesting to us for 2 reasons. One, we think it has significant sustainable growth, but it's also -- it has higher ASPs and sale prices than, say, industrial and certainly auto. So it's a great opportunity for us to commercialize and monetize the IP we have there, whether it's IRIS and HALO or it's MOVIA S, monetize that in that market at very attractive ASPs.
Jason Kolbert: And just my last question is on the sales and marketing line. It just seems like a big line, right? You're spending a lot of money there. What is that money actually being spent on?
Stephen Hrynewich: So sales and marketing line -- sorry, go ahead.
Glen DeVos: No. Well, why don't you complete your thoughts, Steve, and then I'll add my color.
Stephen Hrynewich: Yes. I think most of our sales and marketing line, as of right now, we're kind of building our team up. We now have a team that's on a global basis. We're bringing over the Luminar team. So we've got a strong team that's going to help us drive forward this revenue opportunity. And we have an office in a couple of different locations that we're trying to continue with that team moving forward. And Glen, do you want to pass it on?
Glen DeVos: Yes. Since joining MicroVision, this is -- it's almost been a year now. One of the things that I've been prioritizing and certainly since taking over as CEO is having just a very strong sales and marketing capability. We have great technology. But if you're going to compete in automotive, if you're going to compete in industrial, and then security and defense, you have to have the right people in the commercial organization that understand the sales motion, have the respect of the customers and can really deliver that. And so we've been growing that organically prior to the Luminar acquisition. And part of that was what we did with the Defense Advisory Board to help us understand and develop our strategy for security and defense. Part of it was bringing on some additional talent over the course of the year. And then hear more recently expanding that team with the -- with onboarding of the Luminar sales team, and it's really -- we're now -- we now have just a very capable sales and marketing team that can take the portfolio we have and really bring that to market. So I could not be happier with the team that we have. It's an investment that we needed to make if we were going to grow the business and accelerate the business growth. And -- but that's the reason why it is what it is.
Operator: And the next question will be from Casey Ryan from WestPark Capital.
Casey Ryan: Glen, Steve, great update. So my first question is, I guess, this is sort of related to the Scantinel acquisition and the FMCW technology. Is that technology getting a lot of interest from defense? It sounds like maybe that's kind of the key thing with its range. I know it's historically been targeted trucking, but is that helping you sort of think defense is a bigger opportunity for you in particular, using FMCW, versus some of the other product lines? Or is it all the product lines are being considered for multiple because I know there are so many applications in that defense space.
Glen DeVos: Yes, great question. Scantinel, there is a significantly increased pull from the defense sector for the technology really for 2 reasons. One is 1550 nanometer, which is you don't -- it's basically not visible with night vision goggles or night vision capabilities. So it's essentially invisible. So from a scanning and perception standpoint for night ops, it seems very, very attractive. And then the FMCW, and that architecture gives it all for long-range capability. And where we're seeing interest is on drone detection, long range drone detection as well as other types of navigation and mapping. So when we acquired Scantinel, of course, the focus of the team really had been in the commercial vehicle market that has been the primary focus. What we're seeing now is a much -- an equally strong pull from the defense side. So still has interest in application in CV, mainly commercial vehicles, but much stronger interest from defense, no question about it. Kind of related to the second part of your question, we also have interest in the other products, and particularly -- for security and defense and particularly, if you think about short-range LiDAR like a MOVIA S, where you can or even now doing MOVIA L with our MOVIA Air products, those are 940 nanometer, and 905 nanometer, but they're very good for terrestrial mapping. So they're not as worried about being visible because it's a very low-cost drone that's flying around doing mapping away from personnel and providing real-time perception and extending that perception from those ground-based vehicles and personnel. And so we're seeing interest there relative to MOVIA L products and MOVIA S products for mapping. And then as well, IRIS and HALO for basically on vehicle perception. So if you think about vehicle autonomy where vehicles want to operate at night, you want to have a 1550 nanometer solution that you can offer. Again, so that vehicle isn't visible at night as it's scanning and its sensors are working. So really across all of those products, we're seeing significant interest there, both in ground-based autonomy, but also with regard to drone applications.
Casey Ryan: Okay. Terrific. So then I was curious about sort of -- as you acquire all the Luminar assets, and I think Orlando was kind of their headquarters. And this is just asking about how much effort it is to sort of complete the acquisition? Are there additional locations that you inherited with your purchase that you're sort of responsible for closing down and consolidating? Or was the Orlando kind of the only thing that was on your plate around physical locations? Because I know Luminar had lots of offices and spots around the world.
Glen DeVos: Yes. We really only acquired 2 locations. One is, as you said, the Orlando office, and they were -- really their headquarters and where their engineering tech center was. And then the other is in Colorado, which was the Black Forest Engineering team for their ASIC design. So those are the 2 offices and sites that we're maintaining. We did bring over people from some of the other offices. If you think about Japan, if you think about Sweden and Germany, but we did not assume responsibility for those facilities. So we're not having to deal with closing down legal entities or closing down offices around the world. And so Orlando, Colorado, those are offices that we have and we're going to keep. And then as we mentioned earlier, we'll consolidate operations in Orlando.
Casey Ryan: Yes. Okay. Terrific. That's great color. And then last question, I think, for me. And maybe this is all -- too many new products and too many opportunities at one time. But I think we're seeing some I don't know if it's a desire or sort of a road map of combining centers, right, cameras with LiDAR and maybe radar, some of these new radar applications. But does that change the way you go to market at all? Do you want to partner with somebody? Or is that all kind of too far in the future to worry about today? How do you see sort of all those sensors coming together at some point in some applications?
Glen DeVos: Yes. To your point, it really depends on the application. It's interesting in automotive. We went through a period where we thought, hey, combining sensor modalities would be really a great way to package sensors in the car, and then we immediately brought them all back apart because it gave us more flexibility in where you can mount the sensors and how you mount them and then actually sourcing those sensors. You combine sensors, you end up actually restricting that. So there are some applications where combined sensor like LiDAR and camera. For instance, that's what we do with our MOVIA Air products where we have LiDAR as well as a resolution camera that we then fuse that in the sensors. So when we provide the map data coming out of the drone, it has fused vision as well as LiDAR. But right now, that tends to be more of how the OEM wants to package those sensors on their platforms. And we can do it as a stand-alone sensor. We're happy to work with others in a combined sensor configuration. We just recently had some discussions around those lines this week as well. But as of right now, our feeling is we'll develop a great LiDAR sensor that can be flexible in terms of how it's integrated, how it's mounted, whether that's in a combined fashion or as a stand-alone LiDAR sensor.
Casey Ryan: Terrific. That's actually a great perspective. It's a great update, and it looks like it's going to be an exciting 2026.
Operator: I will now turn this call back over to Steve Hrynewich to read questions submitted through the webcast or in advance of the call. Steve?
Stephen Hrynewich: Thank you, operator. Our first question is with regards to your revenue guidance of $10 million to $15 million, how confident are you in achieving this?
Glen DeVos: Yes. Let me take that, Steve, and then I'd ask you to add any further comments from your end. So that revenue is a combination of sales of our long-range and our short-range products, and it's really across all 3 end markets. We've already been shipping into critical customers that came with that Luminar acquisition, and we really expect that to continue. In addition, the commercial uptake of the short-range MOVIA S is actually ahead of our expectations. We believe that was going to be a great product. The interest and the pull we're seeing on that validates that. And now it's up to us to launch that on time and at volume. We believe we have, however, a clear line of sight to other opportunities and that combination of what we know today, what we're seeing, that gives us a great deal of confidence with that guidance. Now as we continue to work through what were the Luminar customer engagements and those contracts and production schedules, we believe there are additional opportunities there that we can include. But we still have to work through that process. We were basically what about 5, 6 weeks into it. And so through a lot of it, but not through all of it yet. And we believe that there will be additional opportunities for us.
Stephen Hrynewich: I think just to add to that, as Glen mentioned, we're looking at production of our MOVIA S short range sensor in quarter 4 of this year. We have lots of customer traction, lots of interest from our customers. So we are definitely expecting to see revenue with that product coming in the fourth quarter this year.
Glen DeVos: Yes.
Stephen Hrynewich: Okay. Second question. How many customers are you engaging with including your recent acquisitions?
Glen DeVos: So with the addition of Luminar's customer base, that has been a significant increase to our opportunity pipeline and really across all 3 verticals. And they've basically brought in incremental about 30 new customers for us to be working with. And within that customer group, many more opportunities and prospects. And as I mentioned earlier, with the onboarding of the Luminar sales and their commercial team, that was just a tremendous benefit of the acquisition because not only do they bring those contracts, they bring relationships and they bring knowledge of those end markets, knowledge of those customers. So it isn't just a matter of the formality of acquiring a contractor, taking over a PO, we also now have the individuals with MicroVision who understand and have a history with those contracts, the history with those customers and a deep understanding of those customers' needs and how we can then basically bring our solutions to them. So that's why that's been such a benefit.
Stephen Hrynewich: Along with same lines, another question. What is the state of the Luminar customer relationships of Volvo, Nissan, Caterpillar? Have you delivered to any of these brands yet? Are these critical to achieving your 2026 guidance?
Glen DeVos: Yes, it's a great question, actually. And well, it's not appropriate to comment on individual customers, it is fair to say that every Luminar customer is engaged with us. And I mentioned, this is in part due to the fact that we have a sales team that knows them, that's maintained contact and now we're continuing those dialogues. By normalizing and restarting those past relationships, as you can imagine, when you go -- when a supplier goes into bankruptcy, that generally speaking, puts a pause on the relationship, it's disruptive. Well, we're now normalizing those relationships and having discussions, not just around the active POs or the near-term needs but also discussions regarding ongoing development. We're not going to comment on how individual customers drive guidance. Subsequent to closing, we have shipped to the largest customers in automotive and commercial vehicles. So that product and that associated revenue is flowing as we speak.
Stephen Hrynewich: Next question is, how did Luminar impact MicroVision's path to revenue and commercialization?
Glen DeVos: So to put a very concisely, Luminar accelerates our revenue. It brings with it. That acquisition brings with it active commercial programs and established customer relationships that really pull forward our path to scale significantly. So we are actively engaged with the Luminar customer base and normalizing and restarting those relationships. And as I mentioned earlier, converting those paused POs and contracts over to active shipments as well as the discussions regarding ongoing development. Now one of the other benefits, though, is we've been able to take -- with the Luminar customer base, we've been able to bring their products into -- the Luminar products into our existing MicroVision customer base as well as the MicroVision products into that existing Luminar customer base. So that cross-pollination we talked about in the -- earlier in the meeting, that really helps us accelerate that traction because it means that MicroVision can be a single one-stop shop provider for their LiDAR perception needs. We provide short-range, long-range, wide field of view, narrow field of view, we can provide the complete LiDAR solution set to them, which it's important from a purchasing standpoint. It's also important from a technology standpoint, because that means harmonizing and integrating all of those sensors becomes much simpler. They don't have to try to integrate short-range sensor from one supplier with a long-range sensor from another. They -- we can do all of that for them. So it's really an exciting development that we're able to cross-pollinate across the different customer bases.
Stephen Hrynewich: And I think just to add to that, one of the key parts of the acquisition is, again, bringing that revenue ahead early. So the HALO product going out into the future is going to bring it as a quicker time for us from a long-range perspective. So that product now is getting very close to samples that we can be providing to customers. And the team is working on that as we speak. And this is going to, again, hurry our -- ready our revenue in terms of the long-range solution quicker.
Glen DeVos: Yes, great point, Steve.
Stephen Hrynewich: Next question is, what happened to the multiple RFQs that you previously announced?
Glen DeVos: Yes, that's another great question. We continue to be actively engaged with those customers. And what's interesting is that, I mean, this has been ongoing for some period of time, and we now have a more diversified product portfolio to offer, especially with our recent acquisitions. So different product offerings for them. But we're seeing an interesting behavior with regard to those RFQs and those RFIs, I mean, normally, when you talk about the automotive passenger car market, an RFI is followed by an RFQ, the RFI is used to kind of understand the market, understand the supply base, selected technologies. The RFQ comes, kind of narrow that down with pricing and the specifics and then a production award typically would follow that. And that's usually management in a short period of time, not 2 plus or 3 years. So what we're seeing right now in that automotive, in particular, the North America and European passenger car market, the OEMs are clearly reformulating their Level 3 value prop and offerings. And this is doing no small part to the cost of these systems and really the limited initial value that the features offer to their end customers. At the end of the day, the end customer is simply not willing to pay $6,000 to $9,000 more for an L3 and certainly not the L3 that they're currently offering. So we've seen some program cancellations or those offerings being suspended. And I think what it highlights to me is why our focus on cost is so important because we need to be able to drive the cost of short-range and long-range LiDAR sensors down to the point where the OEMs can afford to put them on the cars, it can enable Level 2+ or Level 3 features that the OEMs can then offer at a price point that their consumers find attractive but they still have healthy margins. So it's -- we're still involved in those RFIs and RFQs. In some cases, the discussions now are in year 3. But I think, again, it just reflects and emphasizes the fact we have to be driving the cost of these sensors down to where the OEMs can really, really be able to put it on the vehicle and drive value both for them and the end consumer.
Stephen Hrynewich: Okay. With the current technology you have plus with the acquired technology, what makes your overall portfolio, your technology different?
Glen DeVos: Well, I think a couple of things to that. First, we have a, as I mentioned, a really broad portfolio. We have 905 nanometer, 1550 nanometer. We have short-range and long-range. Time of flight, FMCW, solid-state and scanning with polygons on MEMS. What that means and why that's important is that means, we can bring the right solution for any given application in any of the end markets that we're serving. And additionally, our approach combines that strong hardware performance with an open software framework. And so instead of offering a closed system, we enable the OEMs and the partners to integrate faster, customize functionality and basically identify new ways of monetizing advanced features on our sensors, and that openness and that open software framework reduces the integration complexity, shortening their development time lines and reducing their costs, helping customers move from concept to deployment faster. And then finally, as a U.S. and German-based company with U.S.-based manufacturing, we can bring that complete product portfolio to the security and defense market, which is a significant differentiator for us.
Stephen Hrynewich: Okay. Good. How do you create value for customers and specifically to the automotive sector?
Glen DeVos: Well, I can tell you, it's not to vendor with the most impressive demo that will create that value. It's the supplier that enables new use cases across the vertical -- across the verticals. And for industrial, that's the ability to enable autonomy at affordable prices as well as advanced safety systems and security and defense. We talked about it, it's applications, such as unmanned ground vehicle autonomy as well as drone-based real-time mapping and reconnaissance. Now for automotive, this includes enabling Level 3 features and like we talk, making them affordable for the OEM and end consumer. And ultimately, Level 3 systems have just simply been too expensive and especially when you consider Level 2+ systems now coming in well below $2,000 on cost to the vehicle. So for us, it's a matter of how do we enable the OEM to successfully offer these types of products and services to their customers, but most critically to be able to do it in a way where they make and they unlock value for themselves. And so our ability to enable our customers to unlock value is how we will create value for them.
Stephen Hrynewich: Next question here is, what is the future for MAVIN in the MEMS technology?
Glen DeVos: So when you think about MAVIN, really the key there is the MEMS scanning technology. That's the heart of MAVIN. And that technology is still a very important part of our total portfolio. So now with MEMS, it has some very good applications. It's great for scanning when you think about a fixed-wing drone doing terrestrial mapping, MEMS is a really, really excellent scanning mechanism for that laser. And so great for scanning on drones. It's also very good for narrower field of new scanning. So if you think about automotive, when you get down to about 60 degrees of horizontal view -- field of view scanning, MEMS is a great option for doing that. And as a result, as we think about Tri-LiDAR, that's where you can get the field of view for long-range LiDAR down to around 60 degrees when MEMS now comes into play. So for us, MEMS, it remains a really important part of our scanning technology portfolio, and we continue to look at applications for it.
Stephen Hrynewich: Next question is, what's the status of the CFO hire?
Glen DeVos: So the CFO hire, this is ongoing. If you think about that role, it's really critical that our CFO has that -- our new CFO would have the skill set and be able to really accelerate our success in the vision that we have laid out today. So we have to have the breadth and depth to the CFO skills along with the relevant industry experience. Now we're in a very, very favorable position in that our Executive Vice Chair, who is part of our leadership team, have been a CFO for 4 public technology companies, and that gives us tremendous capability along with what I would say is just an outstanding financial team that is -- just gives us a really solid basis from a financial and accounting foundation. And so when you combine those, that means we can take the time we need to take to find exactly the right person for that role. So we're continuing with that. We would expect that sometime here in the second quarter. But we're not in a situation where we have to rush that, which is a great place to be.
Stephen Hrynewich: Okay. All right. Let's go for -- we've got 4 minutes left, maybe one more question here. Now with the recent -- again, the recent acquisitions, obviously, the company has changed. How are you different now? And what is your competitive advantage in the marketplace?
Glen DeVos: Well, I mean, the first and foremost difference is the breadth of the portfolio. So we've significantly augmented the portfolio compared to where we were pre-acquisition, in particular if you add Scantinel and Luminar. So first question is portfolio. Second question is time to revenue. As we mentioned, in particular, the Luminar acquisition dramatically accelerated that timeline to revenue and -- versus doing that organically as we were pre-acquisition. So that time to revenue and the broadening of the customer base is that we now have access to with our portfolio, that's a huge difference. And then finally, just deepening on the whole, the entire team and the capabilities we have. So if you look at the depth of our knowledge, whether it's the Scantinel team in Ulm, it's the MicroVision team in Hamburg, it's the combined team now in Orlando with the Black Forest Engineering team now in Colorado. When you look at that depth of engineering talent, it's just amazing. We have the talent to support that portfolio, to develop those products and to deliver on that. So it truly is, as we said at the beginning of today's call, it's a transformative time for MicroVision. And that's what gives me confidence that we will be very well positioned to lead in what we call LiDAR 2.0.
Stephen Hrynewich: Okay. Thank you, Glen. Okay. That brings us to the end of our call today. I just want to thank you, everybody, for participating on our call today and your continued support of MicroVision. We will now close the call.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a great day.